Management: John Maccarone - President and Chief Executive Officer  Ernie Furtado - Senior Vice President and Chief Financial Officer Philip Brewer - Executive Vice President 
Analysts: Justin Yagerman - Wachovia Services Bob Napoli – Piper Jaffray Greg Lewis – Credit Suisse  Richard Shane - Jefferies & Co   
Operator: Welcome to the Textainer Group Holdings Limited’s first quarter results conference call. (Operator Instructions) I would now like to turn the conference over to Philip Brewer, Executive Vice President. 
Philip Brewer:  We are here to discuss Textainer’s first quarter 2008 results that we reported on May 5, 2008. Joining us on this morning’s call are John Maccarone, President and Chief Executive Officer and Ernie Furtado Senior Vice President and Chief Financial Officer.  Before I turn the call over to John and Ernie I would like to point out that this conference call contains forward-looking statements within the meaning of US securities laws. These statements involve risks and uncertainties that are only predictions and may differ materially from actual future events of results. It is possible that the company’s future financial performance may differ from expectations due to a variety of factors.  Any forward-looking statements made during this call are based on certain current assumptions and analysis made by the company in light of its experience and current perception of historical trends, conditions, expected future developments and other factors that currently believed are appropriate. Any such statements are not a guarantee of future performance and actual results or developments may differ from those projected.  Finally the company’s views estimates plans and outlook as described within this call may change subsequent with this discussion. The company is under no obligation to modify or update any or all of the statements that are made herein, despite any subsequent changes the company may make in its views, estimates, plans or outlook for the future. For discussion of such risks and uncertainties, see the risk factors included in the company’s annual report form 20-F filed with SEC on March 28, 2008.  In addition during this conference call we will refer to EBITDA, net income excluding unrealized losses on interest rate swaps net and net income per diluted common share excluding unrealized losses on interest rates swap net which are not financial measures calculated in accordance with GAAP.  We believe that EBITDA may be a useful performance measure that is widely used within our industry. We also believe that net income excluding unrealized losses on interest rate swaps net and net income per diluted common share excluding unrealized losses on interest rates swaps net are useful in evaluating our operating performance because both are non cash, non operating items.  EBITDA, net income excluding unrealized losses on interest rates loss net and net income per diluted common share excluding unrealized losses on interest rates swaps net however should not be considered as alternatives to net income, income from operations or any other GAAP performance measures or as alternatives to cash flows from operating activities as measures of liquidity.  Reconciliations of net income to EBITDA, net income to net income excluding unrealized losses on interest rate swaps net and net income per diluted common share excluding unrealized losses on interest rate swaps net can be found in the company’s May 5, 2008 press release and the company’s form 6-K filed with the SEC on May 5 2008.  I would now like to turn the call over to John Maccarone
John Maccarone:  Thank you for participating in Textainer’s first quarter 2008 earnings call. We had an excellent first quarter in all phases of our business; resale, new container long term leases and finance lease originations and depot container lease outs, especially in Asia but also in the USA. Utilization averaged 93%, capital expenditures 52,500 TEU of new productions for the owned and managed fleets was ordered for delivery through May comprising about $105 million of CapEx. Additionally, 1,900 refrigerated containers comprising about $32 million of CapEx for the owned and managed fleets was ordered for delivery through July.  Our total budget for 2008 was $267 million. This $137 million committed to date is about 50% of the total in less than half of the year, so we are ahead of plan so far. Originations of long-term leases were more than 41,000 TEU, more than 10,000 TEU of finance leases. We sold 9,000 trading units and 15,000 units from our fleet. Our resale segments earned more than $5 million in the first quarter, which is more than it has earned in any entire year except for 2007. For our military business, we received the NDTA quality award for 2007. We’ve also had a very good demand for containers out of the USA.  We are especially pleased about our financing and Phil Brewer will give us an update on that in a few minutes. First-quarter net income of $22.50 million, excluding unrealized losses on interest rate swaps net, is a 29% increase over the first quarter of 2007 and net income per diluted common share, excluding unrealized losses on interest rate swaps net, is $0.47 a share. The dividend paid in the first quarter of 2008 was $0.21 a share, an increase of $0.01 or 5% over the prior quarter. Our next dividend will be $0.22 a share, another 5% increase.  Our goal is to pay out about 50% of net income in dividends, which we believe profitably rewards our shareholders and still, enables us to achieve our capital expenditure and acquisition goals. I’ll now turn it over to Ernie Furtado, our CFO, to take us through the numbers.
Ernie Furtado:  I’d like to take this opportunity to review our financial performance for the first quarter of 2008. The fleet size at the end of the first quarter consisted of slightly more than two million TEU of which 41% were owned and the remainder were managed -- subleased or on finance lease. Utilization for the first quarter was 93%. Net income excluding unrealized losses on interest rate swaps net was $22.5 million, which represents a 29% increase over the $17.5 million the prior year quarter.  Net income was $17.4 million, which represents a 4% increase over the prior year quarter even though $6.3 million on unrealized losses on interest rate swaps, which is a non-cash, non-operating item, was $4.9 million higher in the current quarter compared to the prior year quarter. Lease rental income was virtually unchanged from the prior quarter as a 3.5% increase in the fleet size was partially offset by a 0.7% decrease in the utilization and a 1.5% decrease in rental rates.  Management fee income increased by 39% primarily due to $2.4 million management fees that we earned from the former Capital Lease fleet. Gain on container trading increased by $3.1 million primarily due to a 309% increase in the number of trading containers sold. Gain on sale of containers increased 17% due to higher sale prices partially offset by a 26% decrease in the number of units sold.  Direct container expense decrease by 29% primarily due to lower repositioning expense. Depreciation expense increased by 16% due to an increase in the size of the owned container fleet, amortization expense increased 268% due to amortization of the price paid to acquire the right to manage the former capital lease fleet.  General and administrative expense increase by $1.6 million, mostly due to additional cost of being a public company in areas such as professional fees and insurance; interest expense decrease by 17% primarily due to a decrease in average interest rates of 1.4 percentage points, partially offset by an increase in average of debt balances which were $49 million higher and finally EBITDA was $44.1 million, $9.5 million higher than the prior year quarter.  We very pleased with our first quarter 2008 results and I’ll now turn it over to Philip Brewer. 
Philip Brewer: I would like to say a few words about our lending facilities. Textainer Limited or TL a wholly owned subsidiary of Textainer Group Holdings Limited entered into a $205 million, five year revolving credit agreement with a group of financial institutions. The interest rate is a spread over LIBOR that varies based on TL’s leverage. Currently the interest rate is LIBOR plus one and is expected to remain at that level for the immediate future. Proceeds from the financing will be use to purchase containers and for general corporate purposes.  It is worth noting that this financing replaced a two year $75 million revolving credit facility. TL initially saw the $150 million but decided the increase the size due to the significant interest and the transaction among both TL’s existing banks and several new banks with no existing relationships with Textainer and due to the uncertain conditions currently existing in the credit market.  Textainer Marine Containers Limited or TMCL, a subsidiary of TL is currently in the process of extending its $300 million conduit financing which currently has a $170 million of outstanding. If this facility is not extended prior to June 6 TMCL will no longer be able to drive down additional funds and the amount then outstanding will begin amortizing over a 10 year period.  We are in this discussions with both TMCL’s existing banks and several new banks regarding extending the facility for two years and increasing the size to approximately $500 million. Although we expect the spread over LIBOR to increase from its current level we are optimistic that the financing will be extended and increased in size prior to its term update. I would now like to turn the call back to John. 
John: Thank you. A few comments about the outlook for 2008; first quarter of the year was somewhat slower than it was in the first quarter of last year, partially due to the slowdown in the US economy. In China, the major exporting countries several factors were involved; stronger currency, severe weather during the first quarter, some labor law changes in China which made it more expensive to higher people and a reduction in the export tax credits, all of these contributed to a somewhat slower first quarter; however we saw an improvement in April which will hopefully continue in the months ahead.  This year the Chinese Labor Day holiday was shortened from the usual one week to only three days that was 1 through 3 of May. Hopefully it will take less time to get back to full export production with this shorter holiday.  In terms of container demand lower shipping line profitability coupled with a 15% increase in container vessel fleet additions in 2008, doubling of fuel costs to more than $500 a ton, the credit crunch and high container prices were all factors. The result was that so far many shipping lines are ordering fewer new containers and it appeared to be depending more on leasing for their requirements.  This has resulted in a strong demand in Asia for new containers, both long time lease and finance lease and also depel containers in Asia as well as in the US. Because of more exports due to the weak dollar agricultural products converting to containers due to very high bulk shipping rates that have also created spot shortages in the United States. We have also seen fewer redeliveries and some lease outs which not only improves utilization over all but has reduced our repositioning expense so far this year. There was also a very good military demand in the USA this year.  The shipping lines appear to be keeping their older containers in service for a longer period of time resulting in shortages of second hand containers and stronger residual values and excellent margins on our trading containers. To sustain the first quarter trading profit we need to secure more trading opportunities in the next couple of months.  While M&A is still a key goal for Textainer I see upside for us in two areas: first, the fleet is approximately 40% owned and 60% managed and we want to own a bigger share of the fleet because of the attractive returns that we get from ownership. For every 10 containers that we are currently selling at the end of their useful life in marine service it’s likely that six of them will be managed containers and only four will be owned. Yet for every 10 new containers we buy, eight of them are owned and only two are managed. The result is that we are increasing the size of our owned fleet significantly even if we don’t increase the size of our total fleet by a big percentage as we would by M&A.  The second upside, our refrigerated business is growing nicely with 1900 units already ordered and about a 1000 already committed to lease. We are also buying Flatracks, but our entire special fleet of rifers, flatracks and open tops at about 11000 units or 20000 TEU including our on order position is only eight tenths of 1% of our fleet, so we have plenty of potential to growth.  We want to thank both those shareholders who have supported us over our 28 year history and those who have invested via our IPO. We sincerely appreciate your confidence in Textainer and look forward to an interesting and productive 2008 and we will now open it up for questions. 
Maccarone: Thank you. A few comments about the outlook for 2008; first quarter of the year was somewhat slower than it was in the first quarter of last year, partially due to the slowdown in the US economy. In China, the major exporting countries several factors were involved; stronger currency, severe weather during the first quarter, some labor law changes in China which made it more expensive to higher people and a reduction in the export tax credits, all of these contributed to a somewhat slower first quarter; however we saw an improvement in April which will hopefully continue in the months ahead.  This year the Chinese Labor Day holiday was shortened from the usual one week to only three days that was 1 through 3 of May. Hopefully it will take less time to get back to full export production with this shorter holiday.  In terms of container demand lower shipping line profitability coupled with a 15% increase in container vessel fleet additions in 2008, doubling of fuel costs to more than $500 a ton, the credit crunch and high container prices were all factors. The result was that so far many shipping lines are ordering fewer new containers and it appeared to be depending more on leasing for their requirements.  This has resulted in a strong demand in Asia for new containers, both long time lease and finance lease and also depel containers in Asia as well as in the US. Because of more exports due to the weak dollar agricultural products converting to containers due to very high bulk shipping rates that have also created spot shortages in the United States. We have also seen fewer redeliveries and some lease outs which not only improves utilization over all but has reduced our repositioning expense so far this year. There was also a very good military demand in the USA this year.  The shipping lines appear to be keeping their older containers in service for a longer period of time resulting in shortages of second hand containers and stronger residual values and excellent margins on our trading containers. To sustain the first quarter trading profit we need to secure more trading opportunities in the next couple of months.  While M&A is still a key goal for Textainer I see upside for us in two areas: first, the fleet is approximately 40% owned and 60% managed and we want to own a bigger share of the fleet because of the attractive returns that we get from ownership. For every 10 containers that we are currently selling at the end of their useful life in marine service it’s likely that six of them will be managed containers and only four will be owned. Yet for every 10 new containers we buy, eight of them are owned and only two are managed. The result is that we are increasing the size of our owned fleet significantly even if we don’t increase the size of our total fleet by a big percentage as we would by M&A.  The second upside, our refrigerated business is growing nicely with 1900 units already ordered and about a 1000 already committed to lease. We are also buying Flatracks, but our entire special fleet of rifers, flatracks and open tops at about 11000 units or 20000 TEU including our on order position is only eight tenths of 1% of our fleet, so we have plenty of potential to growth.  We want to thank both those shareholders who have supported us over our 28 year history and those who have invested via our IPO. We sincerely appreciate your confidence in Textainer and look forward to an interesting and productive 2008 and we will now open it up for questions. 
Operator: (Operator Instructions) Your first question comes from Justin Yagerman - Wachovia Services. 
Justin Yagerman - Wachovia Services: I guess, John you laid option compelling reasons why the container lesser is gaining some market share in this environment and given those reasons and others and with the inclination on the part of some of your customers to keep hold of containers and where container pricing is right now.  Are you seeing any pricing power with customers or is it your best hope basically to hold on to the rates that you have and perhaps reassign a current rate and stature it or is there an opportunity with maybe a container coming off of a 5-year lease to give it to another customer and may be slightly better than what it was earnings with you guys but still lower than what it would cost them to originate an new billed lease at these rates. 
John Maccarone: Well as you know Justin pricing for brand new containers it’s always a function of the cost of the new container at the time you’re placing it on lease, the prevailing interest rates and the profit margins. So, in terms of pricing power for new containers it still a lot of competition out there. I would say we are seeing a slightly better spread than we did in the last year, but nothing dramatic so far.  In terms of containers that are ending in initial 5 year long term lease, we are finding a good market for renewing the containers and some of the deals that I have seen so far this year representing significant quantities, 10,000, 20,000 TEU at a pop have been able to be extended for up to three years for very small incremental decrease in perhaps $0.01 or $0.02 which is quite encouraging.  One of the things that we have the ability to do unlike some of the smaller leasing companies that don’t have the developed infrastructure is to tell a customer if we can’t come to terms, please go ahead and bring the containers back, so we haven’t seen a lot of that, but we are prepared to take them back. If we can’t take them back now in a 93% utilization environment, then there will never be a better time for that. Not sure if I covered all the points that you asked but if not please let me know. 
Justin Yagerman - Wachovia Services: No, that’s helpful and I guess your infrastructure you see is kind of a helpful negotiating standpoint where someone else may be less willing to walk away from a lease with the customer. It was interesting you mentioned flatracks and opened tops and I know you guys have talked a little bit more about the reefer market, but may be you can spend a second just talking about what’s compelling about those trades and how big you have gotten in them and what kind of outlook you see on those? 
John Maccarone: Well, flatracks have been good performers for quite a lot of time. We are running about 97% on 20 foot flatracks and 93% on 40 foot flatracks, so we felt that taking on the capital lease fleet which had some open tops and flatracks and it added to the ones we already had starting to give us a critical math in that segment, so we felt it was a good time to cautiously add to our position.  Refrigerated containers, I know we’ve talked about, we’ve had several press releases, we get back into that market this year and partially at the urging of a lot of customers, where we are the number one, number two supplier and for years when they’ve needed reefers, they’ve had to go elsewhere. So they encouraged us to get back into the market, which we did. We’ve had a very good acceptance.  We’ve found that we’ve been included in virtually every opportunity to lease reefers. We had a relatively cautious prediction for the first year of roughly $30 million in CapEx and we’ve already purchased over $32 million worth of reefers, so we think that it’s a good market, it’s a growing market and that we will be able to continue to increase the size of our position in refrigerated containers.
Justin Yagerman - Wachovia Services:  When you look at the market, what’s driving container prices up right now? Is it just the input prices or is it that you’ve got a kind of an oligopoly or a duopoly that controls this market and they’ve lowered production and I guess giving where TEU prices are right now, do you expect production to start to increase and then in that context, sorry for the multipart questions here, but in that context, how do you plan the timing of orders and CapEx accordingly?
John Maccarone: Well let’s start with the prices of containers and you’re absolutely right, the inputs are a factor. Steel prices, we all know where steel has gone; components, iron ore that goes into steel I think was up 70% for the contract year that just started. Wood, the floor, the paint, the petroleum derived products, so all three of the major components that go into making a standard container have gone up.  You also have an increase in cost of labor, a strengthening in the Chinese currency, a reduction in the export tax credit that the manufacturers were getting. So I think the inputs and some of the manufacturing costs are definitely part of the equation. The duopoly among container manufacturers is definitely a consideration because they have the ability to withhold capacity from the market. I do not see them adding capacity or even working up to the full theoretical capacity because they would lose some of their pricing control if they did that, so I think they’re going to continue to limit overall production in order for them to keep their pricing at a reasonably high level.
Justin Yagerman - Wachovia Services:  In that high price TEU context, how do you think about CapEx and what are you thinking in terms of your planning for this year?
John Maccarone:  Well when we made our budget of $267 million, a new container was about $1,900 and now it’s almost $2,300. So the dollar number came out to about 160,000 TEU. With the much higher container price today, if those prices hold, then we would consume that much in CapEx with a much lower number of containers. So at this point, I’m pretty confident we’ll consume at least $300 million of CapEx but I don’t know if we’ll end up buying 160,000 TEU.
Phil Brewer: One other thing you’re asking here is to what extent do we let container prices dictate our planning of our capital expenditure and I’d say that we look at that if we acted that way, we’d see that a bit of the tail wagging the dog. We actually look at trying to keep our finger on what’s happening in the market, the demand that we see, the demand that we expect, the supply of containers and depots in Asia etc; we take all these factors into account while we hear from our people in the field and that is what primarily drives our CapEx decisions. We view ourselves as being a very consistent buyer of containers, not someone who tries to play the market as prices go up and down and we think that over time, that policy has served us well and resulted in an attractive average cost for our containers over time
Justin Yagerman - Wachovia Services: John, you had a quick comment about the sustainability of your trading container profits and obviously you had a great quarter this quarter and that business feels like it’s thriving, but if used prices are as strong as they are, did the liners sell you more containers or do your competitors sell you more containers or is it getting easier for them to sell it I guess is a question in our mind and I mean, how confident do you feel that you you’ll be able to source this level of containers to sell and I guess that’s the question, how confident do you feel you can maintain this kind of level?
Phil Brewer:  This is certainly and obviously it’s a growing and attractive part of our business, but our ability is to continue to generate those profits that depends to a large degree on our ability to find trading containers. We currently have in the pipeline through contracts that we’ve already entered into, a supply sufficient that I believe we will carry us with a similar performance through the second quarter of the year.  Beyond that, we do need to identify additional trading containers for many of the reasons that John already indicated. The shipping lines are somewhat reluctant to sell containers now. I guess due to the high price of the new containers, due to the difficulties of securing credit to purchase those new containers. In high utilization they’re tending to keep their containers. So we are -- we’re always in the market looking for opportunities. In fact, we have marketing trips planned specifically for the purpose of identifying trading container deals but we clearly have to find more if we want to continue this type of performance through the end of the year. 
Justin Yagerman - Wachovia Services:  Right and last one, I don’t want to hog anybody’s time, but the tax rate a bit lower than it had been. Ernie, do you have any guidance on kind of how we should be modeling the tax rate going forward?
Ernie Furtado: Yes, I think the rate that we showed in the first quarter is going to be pretty good representation for this year. There were a couple of reasons it was different, one was with the adoption of FIN 48 in 2007 that partly contributed to the higher rate last year and also we have some items with US tax this year related to our stock compensation which is driving our rate down, so I think the rates that were reported in the first quarter can be pretty representative of what we have this year.
Operator:  Your next question comes from Bob Napoli - Piper Jaffray.
Bob Napoli – Piper Jaffray:  On the tax rate, is there something as you look at 2009, would you expect tax rate to move back up towards a little bit higher than where you’re at in ‘08 for some of the reasons that you mentioned on or if you’re trying to look at a long-term tax rate what would you recommend or what do you expect? 
John Maccarone : Like a number, I would like comment on ’08 because we did as part of our first quarter review -- we are required to really project our results for the entire year and that’s reviewed by KPMG’s part of the review work, but the business should change so you would think that it should be a pretty good rate into the future. There’s nothing I am aware of that would cause it to go significantly higher. 
Bob Napoli – Piper Jaffray: The equipment trading business, I think you mentioned how many containers you sold, how many different companies did you buy them from, maybe try to give us a little more color on how that business is structured? 
Philip Brewer: I would say that we bought containers over the first quarter from probably 60, 70 different sources I mean and it could well be a 100; there is an awful lot of people. We are buying and trading containers sometimes in very small quantities or smaller quantities from minor traders or from shipping lines, but as far as major contracts under which we are being provided hundreds or thousands of containers, currently we have about seven or eight that still have containers to be delivered under that contract and that’s what I mentioned and I could see a supply going to the next quarter. It was as a result of those contracts. 
Bob Napoli – Piper Jaffray: Okay would you say that then say 80% of the volume is delivered by less than five different shippers or is that a way to think of that? 
Philip Brewer: I think ballpark you are correct. I think it’s probably six or something like that, but yes overall what you are saying is that, yes. 
Bob Napoli – Piper Jaffray: Okay and looking at the lease rental income, that was a little bit lower than what we were modeling; just trying to understand because the container equipment on the balance sheet is up 14% year-over-year. I would have thought that the lease revenue would have tracked relatively along with the growth and the container equipment assuming prices and utilization looks stable. I think pricing was relatively stable, but is there -- what am I missing. Obviously I am missing something. 
Ernie Furtado: As I mentioned in my remarks we actually had a slight decrease in utilization. It was about seven tenths of 1 percentage point compared to the prior quarter and rental rates on average were down about 1.5%. 
Bob Napoli – Piper Jaffray: Okay, that’s year-over-year or quarter-over-quarter? 
Ernie Furtado: This year’s quarter compared to prior year quarter. 
Bob Napoli – Piper Jaffray: Okay and but you’re saying that has stabilized. I mean that’s only 1.5%, but I think John you had said that pricing had stabilized. I mean I think as containers rates have gone up you’ve been able to charge the same amount per dollar. I guess so your rates are going up price in line with container prices. 
John Maccarone : Yes, the four Brandon Units and probably if you look at the first quarter it’s toward the end of the first quarter where we’ve seen that strengthen a bit. The deals we were doing at the beginning were still pretty much a carry over from the lower spreads we will be seeing in 2007. 
Bob Napoli – Piper Jaffray: You talked about the specialty containers. You gave a little more color on that and talked about the growth potential with 1% of containers today approximately I think is the number you gave; what kind of opportunity do you have in that space. At what percentage of the market with those containers be and what percentage of your portfolio over the long run would you like to see specialty containers comprise? 
John Maccarone : We haven’t really said we want to be at 10% by 2011 or something like that; it’s just pretty much of an opportunistic. For a longtime our board felt that unless we could be a major player in a particular segment of the market, why bother, but as I said for the open tops and flatracks, when we turned around and looked at what we had, looked at what came into the fleet with the acquisition of the gateway equipment in 2006 and the capital equipment 2007 we said “we actually have the nucleus of a reasonably decent size fleet, so why don’t we now start to add to that” but we don’t have an ending number.  It really is what we see the market being able to support. The reaper is just kind of a different story. That is a big market and I had some projections that we got from carrier when they made a presentation at our January meeting; there is a significant growth over the next few years in that market and they are forecasting that the leasing sector which has always had a relatively small percentage unlike the dry cargo sector will grown and that leasing sector will grow, so there I think we can get to the point of being a significant player in a shorter period of time.  This year we’ve already bought 1900 containers, we are talking about all high queue, 40 foot high queue refrigerator containers, we haven’t bought any 20 foot containers and we are optimistic that we will be able to add to the 1900. So, for the first year that’s not of bad performance and we’ll build on that in the years ahead. 
Operator:  Your next question comes from Greg Lewis - Credit Suisse. 
Greg Lewis – Credit Suisse : Regarding the M&A possibilities it seems like a couple of quarters back when were discussing sort of the outlook for this possibilities it seems like there were potentially more opportunities. Are you surprised that some of these smaller container leasers have been able to hanging and really not look to exit this industry at this point or? 
John Maccarone : Yes. A deal done by CAI of course it was very small, and obviously you seen some private equity interest in our industry coming in and buying up some of the container leasers, but not so much consolidation among existing players. Still I say that we are optimistic, we all hope to involve that from whether we are or not that there’ll be additional consolidation in the industry over the next two years. 
Greg Lewis – Credit Suisse : Okay now were those transactions something that Textainer was able to look at and just didn’t think that they were attractive or simply something that wasn’t really made available to other competitors? 
John Maccarone : I think it depends on specifically what transactions you are talking about. The ones -- you look at the private equity deals that involve someone like Inter Pool or Carl Isle, well I say everybody in the industry was fully aware of those transactions and looked at them if they had an interest. The small companies at CAI purchased recently I believe in Scandinavia, frankly I personally wasn’t aware of that. 
Greg Lewis – Credit Suisse : Regarding the used containers, clearly residual values are up for used containers and with that you are able to sort of book gain, book some significant gains from the higher residual values. I guess that I have two questions; one is, in other words are you willing to sell assets maybe before they sort of reach the end of their useful life of say roughly 12 years and on the other question would be the liner companies that you mentioned are operating our containers longer; is the rising cost of containers expending the useful life of containers? 
John Maccarone : Well let’s talk about the useful lives, the useful life of the container is much longer than 12 years. I’m talking about the marine related life. While the shipping lines are operating containers 15, 16 years old, typically a leasing company uses about a 12 year life because the shipping lines have told us they don’t want to lease a container more than 12 years old, so we can’t lease it then we figure we better seller it, but there is no correlation between 12 years and the useful life in marine service; it’s a very sturdy piece of equipment that can last a lot longer than 12 years and I think the second part of your question; would we sell our containers that’s younger than 12 years and the answer is, absolutely yes we would.  We have a model that is called our MPV model that is updated every month with the variety of inputs and its all computerized and whenever a container gets all hired anywhere in the world it goes through that model and the model tells us whether we should repair the container and try to put it back into service or whether we should sell it. So we often sell containers that are not 12 years old if it makes sense from a financial point of view to do so. 
Greg Lewis – Credit Suisse : You mentioned that you’ve spent, you’ve committed about a $137 million of your 2008 budget already thus for and you mentioned and Q1 was clearly a weaker quarter from what we’ve heard about China and the slowing US economy and it seems like you know Aprils things are starting to warm up a little bit and we are heading into a period where we could see some increase in the container demand and but it seems to me that there could be opportunities for you to potentially expand much more than that $300 million in CapEx you mentioned earlier on the call. Is that sort of the safe, is that sort of a good way to be thinking about that. 
John Maccarone : I think that you’re right, that we could conceivably do that. What I would suggest is that we need to see if the shipping lines continue to pretty much stay on the side lines as far as new container buying and if they do and if they will continue to depend on leasing companies more, then yes I think it’s fair. I think if I were you, I would probably stick with the $300 million number at least in your modeling, at least through the next -- through this second quarter and then we’ll probably have a better idea of where we are going to end up at that point. 
Operator: Your next question comes from Richard Shane - Jefferies & Company
Richard Shane - Jefferies & Co:  John historically in the past you talked about sort of the cyclicality in terms of the percentage of containers that the shipping companies lease versus purchase and it seems to me that we are coming off a trough in terms of that rate at the moment. What are the trends that are driving that, where do you think we go and what should we be watching to make sure the directionality of that trend? 
John Maccarone: Over the years where I have seen the shipping lines tend to buy more and lease less in several factors; one, when containers are perceived to be very cheap they often load up on containers, sometimes even more then they need because they feel that they are cheap. When interest rates are exceptionally low and when they have access to capital to secure container financing, profitability being high, those are sort of the times when similar to what we have had in the 2005, 06, 07 period where as you know the shipping lines brought more than 60% of the total new production as opposed to the historic full year average of leasing companies buying -- mid to high 40% shipping lines buying the rest.  So if we look at where we are in 2008, high container prices, lower profitability of shipping lines due to all the reasons I mentioned at the beginning of the call and the credit crunch its not surprising that so far we are seeing the shipping lines turn more to leasing. Will that trend continue? The question and we hope it does and there is no reason that we see sitting here right now that that will change.  We don’t think the bunker prices are going to go down for the shipping lines which has been their major operating expense and one of the costs that they are not able to fully recover in terms of surcharges from their customers and certainly the credit crunch is affecting many shipping line’s ability to borrow and the spread over which they are able to borrow. So in my opinion the factors are there which would tend to say we are getting into one of those cycles as you described it where leasing companies are going to account for a bigger share of the pie. 
Richard Shane - Jefferies & Co: Great and what’s you sense year-to-date in terms of what that mix might be? 
John Maccarone: I think some figures that I have seen that are very unofficial from some of the manufacturers, would appear that it’s running about 50:50 right now. Again that’s a very informal anecdotal type numbers that we just got from one of our manufacturers of what they see as they look out in their yard, what’s sitting at the factory. The number came out exactly, I think it was actually 50.1% was leasing companies and 49.9% was shipping lines but I wouldn’t go to the bank with that number. That’s just an anecdotal number that we’ve heard.
Richard Shane - Jefferies & Co: The extra decimal point makes it sound a lot more official though John, but thank you for that, that’s actually incredibly helpful. Also when you look at the containers that you’re selling, has there been any change over the last 12 months in terms of age? What is the average age of the containers you’re selling and where was it previously?
Phil Brewer: You mean the containers out of our fleet?
Richard Shane - Jefferies & Co: Yes.
Phil Brewer:  I don’t believe that there’s been a significant change in the average age but we can certainly check that figure and get back to you.
Operator:  And at this time, we have no further questions.
Phil Brewer:  On behalf of Textainer, we’d like to thank everybody for joining our call and look forward to speaking to you on our next quarter, thank you.